Takuya Nakata: Now I’d like to start the briefing on the results of the First Half of FY March, 2023. Please turn to Page 1 of the presentation material. Here we are showing the highlights of the first half performances. The overview of the FY March, 2023 first half results are summarized in these three bullet points. First, the prolonged impact of lockdowns in China, which we explained during the first quarter briefing continued to affect us and the semiconductor procurement difficulties continually stayed with us. Meanwhile, due to the favorable exchange rates, the revenue increased year-on-year. However, if we excluded the exchange rate impact, the actual revenue declined slightly year-on-year. In the meantime, as we try to offset the cost increase as much as possible through the price optimization and also with the contribution of the exchange rates, we achieved a year-on-year increase of the core operating profit.  Moreover, for the three month period of the second quarter, the actual revenue and profit, excluding the exchange rates impact increased year-on-year. With regards to the full year outlook, I would like to explain the details later, but we took into account the impact of foreign exchange rates and revised the forecast. As a result, all the revenue core operating profit and net profit were revised upward. The impact of lockdowns in China has prolonged, and as I mentioned during the first quarter briefing, the demand for entry models has been rather weak, especially in Europe, and the weak regions are now expanding yet. In the meantime, the demand for mid-range and high-end musical instruments is strong. So such factors were taken into consideration before we revise the forecast.  Now, please turn to Page 3. Here’s the summary of the first half performances. The revenue was ¥218 billion. The core operating profit was ¥24.4 billion, and the net profit was ¥20.8 billion. The revenue increased by 9.8% year-on-year, but when the impact of exchange rate was excluded, it was minus 1.7%, so it was practically a slight decrease year-on-year. Next, please turn to Page 4. Here we are showing a year-on-year analysis of the core operating profit. Compared to the previous year’s profit, which was ¥23.5 billion, we saw a positive impact of exchange rates by ¥3.7 billion. On the other hand, there were negatives from the increase of overseas labor cost, procurement cost, and ocean freight, which amounted to about ¥5 billion in total. Meanwhile, with the improvement of sales and production model mix and price optimization, we had ¥4.3 billion recovery, but the SG&A increased a little too. So after all, the core operating profit turned out to be ¥24.4 billion this year.  Now, the following page shows the results by each business segment. The musical instruments, the audio equipment, and the industrial machinery and components, IMC business and others. Here I’d especially like to highlight the audio equipment business. In the first quarter, this segment marked a little loss, but the performance is improved in the second quarter as we actually expected, so the first half results turned out to be profitable. I will explain the details behind these numbers later. Moving on to Page 6, I would like to explain the full year outlook. We are now forecasting the revenue to be ¥470 billion, the core operating profit to be ¥52 billion and the net profit to be ¥41 billion. Compared to the previous forecast, the revenue is higher by ¥10 billion, but this is actually including a substantial positive impact with foreign exchange rate, which will be about ¥19 billion. Meanwhile, there are negative factors such as the rising uncertainties and the prolonged lockdown in China. So after considering them all, we revised the forecast upward by ¥10 billion. As for the core operating profit, there are also various factors to consider, but we basically reflected the positive impact of the foreign exchange rate by ¥2 billion as an incremental factor, and now forecasting the profit to be ¥52 billion. As for the net profit, we accounted in the exchange assumptions in the core operating profit and the foreign exchange rates and revised the upward to ¥41 billion. Now, the exchange rate assumptions are as shown here in the bottom half of the slide. Moreover since the exchange rate impacts are considerably large. We also describe the currency sensitivity per ¥1 difference, compared to the currency sensitivity that we indicated in the past. You might think that the U.S. dollar sensitivity to the profit is greater, but that is because in the IMC business and others, especially in the automobile interior wood components business, the volume of exports to North America has increased. Since the U.S. dollar exposure has become substantially larger, we adjusted the currency sensitivity. Let’s move on to the core operating profit analysis of the full year forecast. Please look at Page 7. The core operating profit in the previous year was ¥43 billion, but this year we would have a positive impact of exchange rates and negative impacts of various costs as you see. On top of that, through the improvement in sales and production model mix and price optimization, we’re expecting an increase of ¥14.2 billion. Yet the SG&A cost would increase as we are resuming various business activities and executing some postponed IT investments. So the year-on-year SG&A increase would be ¥3.2 billion. As a result, we are now projecting the core operating profit to be ¥52 billion, which is an increase by ¥9 billion from the previous year. Now, the difference from the previous projection is as shown in the bottom half of the slide. There are various factors, but all in all, with the greater impact of exchange rates, we are now projecting the profit to be ¥52 billion. On Page 8, you can see the full year outlook by each business segment. First, the musical instrument segment is expected to achieve a substantial increase of revenue. Even without the exchange rate impact the segment is expected to achieve an year-on-year revenue increase. As for the core operating profit, although various costs are increasing mostly helped by the favorable exchange rate, we’re expecting the profit to rise by ¥6.7 billion. Accordingly, the core operating profit ratio, which was 13.5% in the previous year is expected to improve to 13.8%. Second, the audio equipment segment is expected to achieve an increase in both the revenue and the core operating profit even without exchange rate impact. In fact, unlike the other segments, the audio equipment’s core operating profit would have a negative impact from the exchange rates. That is because the production is mostly carried out overseas, so the Japan business would have a negative impact from the depreciation of yen. Moreover, the expenses overseas are increasing due to the depreciation of yen, so the core operating profit of audio equipment segment would get negative impacts from the exchange rate.  Third, the IMC business and others segment is also expected to achieve increase in both the revenue and the core operating profit. However, the core operating profit is actually boosted very much by the exchange rate, so without it, the profit would be slightly lower than the previous year. The main reason for this is the rising procurement cost. Just like the musical instrument segment, we are hoping to pass on the increased cost to the price, but the customers of IMC business and others are more reluctant to accept such price hike. Furthermore, with the increased sales of less profitable products, the model mix is deteriorating and SG&A costs are rising in some areas, so even though we are expecting a good increase of revenues, the profit will not increase as much. Now from here on, I’d like to give you the details of each business segment. First, the musical instrument segment. During the first quarter last year, we suddenly had a sharp increase of the shipment, so we saw a year-on-year decline this year, but we caught up in the second quarter and reached the similar level as last year for the first half.  Later, I will explain the situations of each category, but there were overall impact from the prolonged lockdowns in China. On the other hand, the guitars and the wind instruments have been performing well. As for the full year projection due to the prolonged impact of lockdowns in China, the pianos are likely to see a year-on-year decline in sales, but all the other category sales are expected to rise. Moving on to Page 11, let me tell you the breakdown of revenues by major product category. As I said earlier, the pianos were affected very much by the lockdowns in China and the sales in both the first and second quarters were lower than the previous year. On the other hand, the digital musical instruments performance improved, overcoming the year-on-year rebound decline in the first quarter. As for the wind strengths and percussion instruments, we especially saw remarkable growth of the wind instruments in North America and achieved the double-digit growth. The guitars achieved the good growth of sales in the second quarter, year-on-year. Next is the revenue breakdown by regions. In Japan, the wind instruments were very sluggish last year, but we are seeing a gradual recovery, and that is reflected here. In North America, the wind strings and percussion instruments grew very well, and it drove the overall growth too. On other hand, in Europe, there was the supply issue and some weakness of entry models, and therefore the sales declined year-on-year.  As for China, the impact of lockdowns were large, and even though there was a good recovery in the second quarter, the drop in the first quarter was too big to offset in the first half. In the other regions, the performances continue to be good, especially as young countries, and we achieved a year-on-year growth of sales. The next page shows some distinct products that we launched this year for your reference, please check them out later. The next is audio equipment segment. As shown on Page 14, throughout the first half, we continued to see an impact of semiconductor procurement difficulties and the sales of both AV and PA dropped year-on-year. In the meantime, the ICT equipment performed well, especially driven by the strong demand of network devices. Since the conference system’s demand was super strong in the previous year, there has been a rebound decline this year, but the growth of network devices offset the decline and let the ICT category to achieve the sales equivalent to last year.  As for the full year projection, although the semi conductor procurement difficulties are continuing, we are seeing some recovery in the PA equipment, so the segment revenue is expected to rise year-on-year. Moreover, the ICT equipment is enjoying a strong demand for the network devices and a rising corporate demand for the conference systems, so we are expecting a good growth of the category sales. The next page shows the revenue breakdown by measure product categories. The AV products are continually affected by the semiconductor procurement difficulties, so as you can see from the chart, we saw a big decline year-on-year. However, for the full year, since we are hoping to recover to a certain extent, especially with the launch of new products in the second half, we’re expecting the year-on-year decline to become smaller. The PA equipment is beginning to show some signs of recovery, and since we are expecting it to recover further in the second half, the full year sales are projected to be higher than the previous year.  As for the ICT equipment, like I said earlier, it is doing well overall, so we are expecting a double digit growth for the full year. The conference systems, which we saw an extraordinary rise of demand in Japan last year and a rebound decline this year are now selling well overseas, especially North America, where the sales have nearly doubled. So, we have great expectations on the continued growth. Moving on to the regional breakdown on the next page. In Japan, the second quarter growth of 8% may seem remarkable, but this was partially due to a front loaded installation service sales. In North America, the performances were sluggish, especially due to the AV products that are continually suffering from the supply shortages it was likewise in Europe.  As for China, the second quarter sales growth was positive, but since the overall business size is small, it is not making that much of a difference. The other regions are also continually affected by the prolonged supply shortages. Overall, the demand for AV products are rather weak, just like the entry models of musical instruments, but the PA equipment is beginning to see the materialized demand in very serious. In the meantime, all the companies affected by the semiconductor supply shortages are continually struggling with the situation, and Yamaha is not an exception. The next page shows some distinctive products that we launched recently. Moving on to Page 18 for the IMC business and the others segment. During the first half, due to the semiconductor procurement difficulties, the electronic devices sales declined. The demand for factory automation equipment has been weak, so that sales also declined. Meanwhile, the automobile interior wood components saw some sales recovery, and the business in North America has been robust. So we achieved a year-on-year growth of the segment revenue. For the full year, we are expecting a full expansion of the automotive related business, so we are projecting a good revenue increase year-on-year.  Now, regarding the other financial figures, please turn to Page 20. Here is the balance sheet summary. The key point to note here is the cash and cash equivalents, which decreased very much, and this is also relevant to the great decline of the current liabilities. They are due to the selling of Yamaha Motors shares in the previous year and the corporate tax for the gain, which was paid this year. That’s the main reason for the big declines. One another thing to note is the inventory, which has increased very much. There were some increase of finished products too, but the increase of raw materials were greater. The procurement of materials other than the semiconductors have been smooth enough, but since the semiconductors were not delivered on time, the production activities slowed down and therefore the inventory of the work in progress and materials piled up. On the other hand, the total equity rose very much due to the foreign exchange adjustment gains. The next page shows the cap expenditure, depreciation, and R&D expenses. The CapEx this year is expected to increase significantly as we are resuming the investments in various areas, including the factories and offices. Since we are executing such postpone investments, there will be a great increase as you see here. The R&D expenses will not change so much from the previous year. Finally, I’d like to touch on some recent topics. What I’d like to especially highlight here is the one on Page 23, the initiatives to further strengthen the business foundation so as to develop closer ties with the customers we launched Yamaha Music ID. This is a global integration of the membership ID, which has been a part of our midterm plan, and we already launched the service in July and Japan and in September in Europe. The shift of the user IDs to this Yamaha Music ID is already taking place. We are engaged in various other activities too, but this was particularly the one that I wanted to highlight. Moreover, as shown on Page 24, we issued Yamaha Group annual report 2022, which the English version will also be ready by the end of November, so please take a look when you have time. Last but not least, in the appendix, we include the results for the three month period of the second quarter for your reference. That is all from me. Thank you very much.
Q - :